Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Houston Wire & Cable Company's First Quarter 2020 Earnings Conference Call. My name is Josh, and I will be your operator for today. Joining us on the call are Jim Pokluda, President and Chief Executive Officer; and Chris Micklas, Vice President and Chief Financial Officer. Today's call is being recorded for replay purposes and all participants are in a listen-only mode. At the end of the financial discussion, we will conduct a question-and-answer session and instructions will be given at that time. Comments during today's call may include forward-looking statements. Any such statements are based on assumptions that the company believes are reasonable but subject to risk factors that are summarized in press releases and SEC filings. Forward-looking statements are not guarantees, and actual results could differ materially from what is indicated in such statements. Any forward-looking statements speak only as of the date of this call, and the company undertakes no obligation to publicly update such statements. If you did not receive a copy of the earnings press release that was distributed earlier this morning, a copy can be found under the Investor Relations page of the company's website at www.houwire.com. At this time, I would now like to turn the call over to Jim Pokluda, President and Chief Executive Officer. Please begin when you’re ready.
Jim Pokluda: Thank you, Josh. Good morning, everyone, and thank you for joining us on our call today. If you've read the press release, you're already familiar with our first quarter performance. Therefore, today's call will be primarily focused on the recent progress we've made to strengthen our company. First and foremost, though, I wish to express my gratitude to my coworkers for extraordinary efforts and accomplishments during these challenging times. Everybody pulling together as a team; moving quickly; acting responsibly; and second only to safety, making all decisions in the context of providing superior customer service, are accomplishments for which you should all be proud. First quarter revenue was negatively impacted in March due to the impact of COVID-19. Were it not for this event and the reduction in the price of metals, which negatively affected product pricing, we believe Q1 revenue would have increased over the prior year period. Adjusting for noncash impairment charges, we estimate Q1 EPS of $0.04 per share. Now let's move on to what we are doing today to strengthen our company. As you know, on March 16 of this year, we elected our largest shareholder, David Nierenberg, to our Board. We immediately put them on our Compensation Committee and told him he would be chairing that committee in May. After his current chair, Gary Yetman becomes the Nominating and Corporate Governance chair as part of our planned transition for him to become our next Board chair, succeeding Bill when Bill retires from the Board in 2021. Within days of David joining the compensation committee, the committee meant to determine how COVID, economic recession and the imbalance between oil supply and demand should make us change our 2020 goals for the company and for management because the world had changed so radically. The committee, and then the Board, with management, refocused and simplified the annual incentive plan to just two goals: 70% on halving debt and 30% on remaining profitable for the full year on a normalized basis, despite the obvious negative impact of tumbling oil on that part of our business which serves the energy industry and the impact of recession on other parts of our business. And we have already been focused on meeting those two new goals – excuse me. And we've really been focused on meeting those two new goals. The first goal, for example, involves halving debt, and here's our latest progress report. At year-end 2019, net debt was $79.4 million. It rose in Q1 as product in transit was received and crested in February at over $90 million. As of May 5, however, we have already brought net debt down to $11.7 million versus where we ended in Q1 and down over $20 million versus the quarter's peak. We're making solid progress and pushing hard and intelligently to drive it under $40 million by year-end. We believe we can do this organically with no adverse effect on our ability to service customers. We say this because we have done exactly this in the past. During the last downturn, as our revenues fell, so too did our requirements for working capital. When the last downturn began, our net debt was over $60 million. And by the end of that cycle, we had more than halved it to under $30 million. Today, we're doing the same thing. It's not new or novel. We know what to do and how to do it. Having said this, we should be clear about why we're doing this. This is not being done because of any issues or concerns about our lender. We have been and are expect to remain in compliance with all of our asset-based covenants. Our credit facility has been extended to 2024 and we have no concerns with maturity. Rather, we are halving our debt for two reasons. One, if you analyze our interest expense in Q1, it would cost us about $3.2 million for the full year, given how hard we are pushing to remain profitable for the full year, we want to chop our debt level impact on the interest expense in half. Two, a number of our thoughtful investors have shared with us their belief that perhaps our public market equity value may be depressed because of widespread concern about solvency in other parts of the energy industry. Even though that concern should not apply to HWCC for the reasons just shared, we and the Board believe that it is responsive to our investors' concern that we halve our debt and eliminate any concern. The second goal is to produce a normalized profit for the year despite today's operating environment challenges. To accomplish this, we are executing multiple business development, margin preservation and expense reduction initiatives. HWCC is an essential business, and the products and services we supply are a critical part of the supply chain. Customer development and pricing discipline remain front and center because it is not our intent to drive profitability only through expense reduction. Investments in collaboration and productivity tools will accelerate our enterprise strategy. Expense management and cost reductions are best led by a personal example, from the top down. The Board has cut its fees 20% and employees have taken pay cuts ranging from 15% to 5%. The Board is also reducing all cost under which it has direct purview, including meeting cost, D&O insurance and all professional fees. Additional cost reductions include savings generated through execution of lean principles and methodologies, distribution center efficiencies, inventory management and staff reductions. 2020 estimated savings – 2020 savings are estimated to be more than $8 million and would result in $14 million annually. We look forward to reporting our success with the above as well as cost savings progress in additional areas in future earnings releases. With that, I'll now turn the call over to Chris and ask him to share some more details on debt reduction and cash generation. Chris?
Chris Micklas: Good morning. As Jim mentioned, we are on track for sales growth in the first quarter until the abrupt changes caused by the COVID-19 pandemic and the falling oil demand and prices. In preparation for lower sales volume, we reacted immediately to these changes and began to adjust our purchasing activities and operating structure. In addition, given the new reality of the operating environment, the Board refocused and simplified the company's 2020 annual incentive plans on two major goals, with 70% weighted on halving the year-end 2019 net debt and 30% on remaining profitable for the full year. The first goal of reducing the net debt by $40 million will be achieved through leveraging our $141.5 million of working capital and countercyclical business model that monetizes receivables and inventory in economic downturns. As I stated earlier, we immediately changed our purchasing behaviors by adjusting minimal stock levels, changing reorder targets and concentrating products within certain markets. The initial results of our actions are a reduction of $11.7 million in net debt to $70.7 million on May 5th from our quarter end level of $82.4 million. This May 5th level was over $20 million lower than the peak in February, and we have made progress; and believe, as we have demonstrated in the past economic downturns, we can make the needed improvements without adversely impacting our ability to serve our customers. Again, reiterating what Jim had said, these actions were are taken and are being done in response to changing market conditions and to improve our operational efficiencies, but not because of issues with our banking relationship. We are in compliance with the availability-based covenants within our credit facility, and the agreement matures in 2024. Therefore, the result of reducing our debt serves – services two purposes: To improve the profitability by decreasing the interest expense and to reduce the concerns over solvency that is present within much of the energy sector. When the market returns, we will respond accordingly using our facility's available capacity to capture the market and to service our customers' demand. Thank you. This ends my prepared remarks, and I'll turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] And I'm not showing any questions at this time. I would now like to turn the call back over to Jim Pokluda for any further remarks.
 :
 :
Operator:
Jim Pokluda: Thanks, Josh, and thanks to all our valued team members for their continued hard work and dedication to the company. To our shareholders, we appreciate you joining us on the call today and look forward to success in the period ahead. Good day, everyone.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating. You may now disconnect.